Operator: Good day, everyone, and welcome to the Global Partners Fourth Quarter 2011 Financial Results Conference Call. Today's call is being recorded. [Operator Instructions] With us from Global Partners are President and Chief Executive Officer, Mr. Eric Slifka; Chief Operating Officer and Chief Financial Officer, Mr. Tom Hollister; Executive Vice President, Chief Accounting Officer and Co-Director of Mergers and Acquisitions, Mr. Charles Rudinsky; and Executive Vice President and General Counsel, Mr. Edward Faneuil. At this time, I'd like to turn the call over to Mr. Faneuil for opening remarks. 
Edward Faneuil: Good morning, everyone. Thank you for joining us. Let me remind everyone that during today's call, we will make forward-looking statements within the meaning of federal securities laws. These statements may include, but are not limited to projections, beliefs, goals and estimates concerning the future financial and operational performance of Global Partners. The actual performance for Global Partners may differ materially from those expressed or implied by any such forward-looking statements. In addition, such performance is subject to risk factors, including but not limited, to those described in Global Partners' filings with the Securities and Exchange Commission. Global Partners undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements that may be made during today's conference call.
 With Regulation FD in effect, it is our policy that any material comments concerning future results of operations will be communicated through press releases, publicly announced conference calls or other means that will constitute public disclosure for purposes of Regulation FD.
 Now, please allow me to turn the call over to our President and Chief Executive Officer, Mr. Eric Slifka. 
Eric Slifka: Thank you, Edward, and good morning, everyone. Global Partners delivered EBITDA of $86 million in 2011, just above our 2011 guidance of $75 million to $85 million. It was approximately $13 million better than 2010 and the highest annual EBITDA recorded by the Partnership. Volume for the year was up 43% from 2010 to 5.2 billion gallons or approximately 340,000 barrels a day. 
 There are several factors behind the increase in volume, including full year contribution from our acquisition in 2010 of the Mobil assets and the Warex terminals, and increases in wholesale gasoline, bulk supply and exchange activity, and blendstocks.
 Our total net product margin was up 28% to $234 million in 2011 from $182 million a year ago. A primary factor behind the increase in margin in 2011 was the addition of our Mobil assets and related supply rights. These assets performed very well for us, exceeding our return expectations for the year. Other positive factors included the full year impact of the Warex terminals, increasing gasoline blendstock activity, record net product margin results from our bid, bunkering and natural gas businesses, and a significant contribution from our new crude oil activity.
 Offsetting these positives were futures market backwardation pressure on our wholesale gasoline business, and significant margin declines in our wholesale Distillates business, due primarily to a less favorable or flat Distillates curve year-over-year. Degree days were also 9% warmer than normal in 2011 and 23% warmer than normal in the fourth quarter. In a minute, Tom will discuss our net product margin results in more detail.
 We continue to reposition the company to take advantage of attractive opportunities in the marketplace. Over the past 2 years, the strategic steps taken have strengthened and broadened our asset base with downstream, vertically integrated distribution and marketing activities, arising from the Mobil station and supply rights; significantly expanded our Albany terminal, creating a hub for the sourcing, storage, transportation and marketing of Distillates, gasoline, blendstocks and more recently, crude oil; and established Global as a premier gasoline and blendstocks supplier through the acquisition of the Warex terminals and our expansion activities in Albany.
 Our diversification is evident in the growth of our wholesale gasoline business, our commercial activity, and our recently-added all other segment, which includes rent from dealer-operated sites and convenience store sales at our company-operated locations. Our net product margin for these 3 business activities nearly tripled from $56 million in 2009 to $166 million in 2011, and represented 71% of our total net product margin, more than twice the 35% contribution in 2009.
 On March 1, we completed the acquisition of Alliance Energy to diversify and strengthen our earnings stream. Alliance is a premier, multi-brand, independent gasoline station and convenience store operator and distributor in the Northeast. The company's portfolio includes approximately 540 gasoline stations located throughout New England, New York, New Jersey and Pennsylvania. Alliance is a skilled and profitable operator, that through strategic acquisitions and organic growth, has achieved significant success during the past 15 years. The company is an ideal fit with Global Partners, and has most recently been managing our Mobil assets.
 The transaction adds to our year-round income stream and complements our position as a leading wholesaler of transportation fuels in the Northeast. We now have a total portfolio of approximately 800 owned, leased or supplied gas stations, expanding our geographic footprint to include Connecticut, Maine, New Jersey, New York and Pennsylvania. In addition, while our existing stations are flying the Mobil flag, Alliance is a top-tier distributor of multiple brands, including Exxon, Mobil, Shell, Sunoco, Citgo and Gulf. 
 I am pleased to welcome Alliance President, Andrew Slifka, who has joined Global Partners as president of the Partnership's Alliance gasoline division. Andrew, also, will join the board of our general partner. Andrew and the Alliance management team have a successful track record in growing the gas and convenience store business. 
 With respect to organic projects, as we previously reported, we have begun moving mid-continent crude oil from the Bakken region of North Dakota by rail to our Albany location for resale.
 Almost everyday now, there are news reports highlighting the huge size of the oil and gas fields in the United States and Canada, as well as the increasing levels of drilling and production. According to a recent article on The Wall Street Journal, $145 billion was spent in drilling and completing U.S. wells in 2011. This is the nearly double the $73 billion spent in 2009 and is more than 10x the $13 billion spent in all of the U.S. in 2000. We believe this is a game changer for our country and its energy markets. 
 Today, rail transportation offers an increasingly viable logistical solution for those products. We were the first company to move unit trains of crude oil from the Bakken region to the East Coast. In just the first 2 months of 2012, we received 15 unit trainloads of crude oil at our Albany facility compared with 13 trainloads in the fourth quarter of 2011.
 We are encouraged by the prospects for this business. Longer-term, the infrastructure required to transport and store the country's growing sources of both crude oil and natural gas does not exist today. Billions of dollars of investments in infrastructure will be needed to bring these products to market.
 Our objective is to play a role in this energy infrastructure renaissance through the development of logistics and assets that capitalize on market inefficiencies. Consistent with our prior comments, we held the distribution flat for the fourth quarter. An ongoing goal for the Partnership is to maintain and increase the distribution and maximize returns to our unitholders over time. The board will continue to evaluate the distribution on a quarter-by-quarter basis, in light of our earnings power, which continues to be strengthened by acquisitions and organic projects.
 In Q1, we expect weak results due to the warm weather we are experiencing, and increasing gasoline prices, which are affecting demand and gas station margins. However, we have several exciting projects under development for 2012. For example, we're in the process of doubling the rail capacity at our Albany terminal, which will allow multiple products to be offloaded simultaneously. We expect the expansion to be completed in the second half of this year. In North Dakota, we're in the process of completing construction of a 100,000 barrel storage tank. The tank is on schedule to be ready by the third quarter, enhancing our infrastructure in the Bakken region.
 Looking ahead, the combination of our acquisitions and internally-generated growth projects diversify Global's income streams. 
 Now let me turn the call over to Tom for his financial review. Tom? 
Thomas Hollister: Thank you, Eric, and good morning, everyone. Let me briefly say that with respect to the fourth quarter, we experienced increases in net income, EBITDA, and distributable cash flow. Net income was up year-over-year by $4 million or 69% to $10 million, primarily due to the Mobil assets, wholesale, gasoline and crude oil. The same factors helped lift fourth quarter EBITDA by $5 million to $27 million and our distributable cash flow by $4 million to $17 million.
 For the full year, as Eric mentioned, 
 [Audio Gap]
 $134 million. This was up 28% from $182 million in 2010. Let me touch on the segments comprising the net product margin.
 The net product margin in our largest segment, the wholesale segment, was $164 million for the year, up only 6% from last year's $155 million, despite a 42% increase in volume from 3.4 billion gallons a year ago, to 4.8 billion gallons in 2011. Our wholesale margin results did not keep pace with the volume increases, primarily due to the backwardation in the gasoline market, and the less favorable market conditions in the Distillate market.
 Let me be more specific about our wholesale net product margin, which is comprised of 3 product areas. I will touch on each of them. Our wholesale gasoline net product margin increased $32 million or 49% from $65 million last year to $97 million this year, despite the backwardation in the gasoline markets. This reflects the contribution of the Mobil assets, together with the full year impact from the acquisition of the Warex terminals in 2010, as well as our increasing activity in gasoline blendstocks primarily ethanol. 
 The wholesale Distillates net product margin declined $31 million or 38% from $81 million a year ago to $50 million in 2011, despite an 8% increase in volume. The primary factor, as Eric mentioned, was a less favorable Distillates curve year-over-year. Warmer than normal weather was also a factor, particularly in the fourth quarter. Our wholesale residual oil and crude oil net product margin increased $8 million from $9 million to $17 million. Our new crude oil activity accounted for the increase, due to particularly favorable market conditions and to a lesser extent, the physical product margin.
 The mid-continent crude oil market is increasing in efficiency and we expect it to become more efficient over time. Our second segment, the commercial segment, enjoyed strong results, posting a net product margin of $39 million, more than twice last year's $18 million. The improvement reflects full year gasoline sales from our company-operated sites, as well as record results from our bid, bunkering and natural gas businesses. 
 The net product margin in our all other segment, which includes rental income from dealer sites, as well as convenience store income from our approximately 40 company-operated locations, increased from $9 million in 2010 to $32 million in 2011. Keep in mind again, that we only had one quarter of results for this segment in 2010 compared to a full year of operation in 2011. 
 Total costs and operating expenses for the year increased from $117 million a year ago to $159 million in 2011. The increase reflects a full year of operations of our Warex terminals, which we purchased in the second quarter of 2010, as well as the purchase of our Mobil assets late in the third quarter of 2010.
 From an expense standpoint, we reduced our headcount by 10% during the third quarter, ending the year with 264 people, down 29 from 293 people at June 30. Compared with the first half run rate in 2011, we are on track to reduce core expenses in 2012 in a previously-announced range of $10 million to $12 million. 
 There are some one-time expenses during 2011 I'd like to note. We expensed $2 million of one-time severance costs related to the reductions in staff and we incurred $1.1 million of one-time costs associated with the Alliance acquisition.
 Interest expenses increased approximately $9 million from $22 million to $31 million, which reflects higher oil and refined product prices, as well as the term financing associated with our acquisitions. Our distributable cash flow at $46.7 million is up slightly from last year's $46 million. The key factors affecting this result, as we have discussed, were the backwardation in wholesale gasoline and less favorable Distillate market conditions. The balance sheet remains very liquid with nearly 70% of our assets concentrated in receivables and inventory. These assets turn over quickly. Our days receivable and days inventory represent about 2 weeks of sales and cost of sales, respectively.
 As Eric mentioned, last week we purchased all the membership interests of Alliance Energy. In consideration, Global Partners issued  5,850,000 common units and assumed long-term debt subject to post-closing adjustments of approximately $180 million. In order to assume Alliance's long-term debt, we increased the acquisition tranche of our bank credit facility to $500 million. I am pleased to report that our bank group significantly oversubscribed this increase.
 There is limited working capital impact on financing requirements as a result of the Alliance acquisition. Similar to our Mobil transaction, we believe that the purchase of these assets achieves tax efficient returns. Although there is some remaining work to do, the key integration elements are all in place, and we are running smoothly as one combined company. We expect to incur approximately $5 million of one-time closing costs in the first quarter of 2012. We believe that this acquisition further diversifies our asset base, enhances our cash flow and extends our leadership position, enabling us to deliver long-term value for our unitholders and employees. The transaction is expected to be accretive in its first full year of operation. Consistent with our previous comments, and based on the anticipated performance of the Alliance business, as well as current and anticipated general economic industry and market conditions, the Partnership has modeled an expected cash return, prior to financing costs in the low to mid-teens, in the first full year of operation.
 Near term, we expect our first quarter performance will be weak due to warm weather, which is affecting heating oil sales and increasing gasoline prices, which is affecting demand and gas station margins. Beyond this, we look forward to the addition of Alliance to the Partnership's future results, as well as the contributions of our many organic projects underway that Eric highlighted. 
 With that, we would be happy to take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Gabriel Moreen of Bank of America Merrill Lynch. 
Gabriel Moreen: A couple of questions, I guess, on the Bakken opportunities. Just getting some more details around that in terms of the terminal you're building. Is that strictly for your own use? Or is that also being, I guess, leased out to third parties? And then, some more color maybe, if you see what you're looking at, on additionally, on the terminaling side? And then in terms of where that crude is being transported to, and realizing, I guess, the huge discounts right now as I see with the Bakken crude, is that crude then -- where's that crude going from Albany? And I'm just wondering if the PADD 1 refinery ships, does that change anything with that business, in terms of where that crude ultimately heads to? 
Eric Slifka: Sure. So the crude that we're aggregating and putting on trains and bringing to Albany, are going to East Coast refineries. Obviously, if those refineries are to shut, there'll be limited demand for that. But the fact of the matter is, we feel comfortable that there are substantial volumes that we'll be able to move as long as there are -- a refinery open on the East Coast. But as you would suspect, Gabe, it is a -- the typical group. You've got ConocoPhillips. You've got Sun, as sort of the primary customers and targets for that product. And like I say, I think there's plenty of volume available in the market for us to supply there. In terms of the tank out there, I think our view is, is we'd like to use it for our own use. If somebody were to come along and offer me lots and lots of money and not compete directly for the business that I want to do out there, essentially, we will consider leasing it, but we built it primarily for our own use. 
Gabriel Moreen: Okay, got it. And then I guess on the Distillate side of things, and I -- appreciating the warm weather and how much of an impact that's had on a lot of people, not just yourselves. You guys also feeling okay about, I guess, your retail customers in terms of being -- the winter they've had, in terms of being able to pay their bills to you guys? 
Thomas Hollister: Gabe, it's interesting. All of our resellers and delivers -- delivery -- deliverers of heating oil, say their accounts are current, and they're in pretty good shape at this point. One advantage for the consumer, is that the prices are down. It's easier to pay. We are a little suspicious though, that some of these companies on lower volume will have some stresses, which we may see in the course of the summer when they have less cash flow. 
Eric Slifka: Yes, I think, Gabe, I think one of the things is because it has been so warm, and the demand is off. I think and it's -- and obviously, it's off. You can assume it's off, exactly what the degree days are in terms of demand, at a minimum. So I think consumers have had to purchase less heating oil and because of that, lower -- at lower cost, their per gallon costs are high though, right? But because of the warm weather, they haven't had as big a bill. 
Gabriel Moreen: Got it. That make sense. And then directionally, in terms of how you're thinking about -- or if you're thinking about giving guidance this year, it seems like there's a lot more moving parts this year given the weather, gasoline prices, et cetera. I mean, you're going to hold off on guidance, or just kind of see how things shake out from an EBITDA guidance basis? 
Thomas Hollister: Well, Gabe, I think maybe the way to answer that is just to recall that consistent with our comments on our Q2 conference call of '11, in a flat futures market and with our pre-Alliance business, a reasonable expectation for EBITDA should be in the $90 million to $110 million range, particularly after giving effect of the expense reductions that we've -- those actions we've taken. Separate and distinct from that, the Alliance transaction, is as -- expected to be accretive, and we've modeled a cash return prior to financing in the low- to mid-teens for the purchase price of those assets. 
Operator: Our next question is from Ron Londe of Wells Fargo. 
Ronald Londe: Just to reiterate, that was $90 million to $110 million of EBITDA or EBIT? 
Thomas Hollister: That's EBITDA. 
Ronald Londe: Okay. Yes, I was just curious what the environment was during the fourth quarter, maybe into the first quarter, in getting -- finding some distress cargoes from Europe? 
Eric Slifka: Well, we have some cargoes that do come from Europe on a consistent basis, Ron, and that's a pretty reasonable transaction for us. But other than that, that was primarily the only volumes that we took in, right? That wouldn't have been at all advantaged. 
Ronald Londe: Would you say it was a better quarter from that standpoint or... 
Eric Slifka: No, normal. 
Ronald Londe: Kind of a normal environment? 
Eric Slifka: Yes. 
Ronald Londe: Okay, from a standpoint of debt, I mean, you always talk about debt that's related to hard assets. Can you give us kind of an updated feel for that, given the acquisitions and everything? 
Thomas Hollister: Sure, Ryan. At year end, under our acquisition and general purpose facility, we had availability of about $350 million and we had borrowed $205 million. And then we increased that tranche to $500 million and borrowed $180 million to finance the Alliance acquisition in the course of the quarter. 
Ronald Londe: So what does that get us? That get us... 
Thomas Hollister: That's about the $400 million range, including those 2 numbers, right? 
Ronald Londe: $400 million, related to hard assets? 
Thomas Hollister: Yes. 
Ronald Londe: Okay, and can you give us -- there's been a lot of noise on the television about stations converting or installing natural gas facilities. Can you give us your perspective on that related to the cost and benefit and demand? 
Eric Slifka: Yes, I mean, it's interesting, and I've had multiple meetings with many different parties, Ron. And I think for me, if I were going to do that, I would want to back in, to some sort of anchor tenants first, and then I would consider doing that because it's expensive to convert these facilities over. And yes, in fact, costs are lower in those products. But at the end of the day, you're also layering -- laying out a couple of million dollars per site to make a conversion. So for me, if I were going to do it, I would want to make sure that I had an anchor tenant or a couple of large commercial accounts that I -- that essentially, were helping me to pay off a guarantee of payout on that investment. 
Gabriel Moreen: Okay, now you're talking a little bit about demand falling off because of high gas prices. Can you give us a feel for the percent of drop in demand, in general, that you've been seeing, and how that's affecting the convenience store part of the business? 
Eric Slifka: Gas demands off 4%, right, according to -- for the PADD 1, according to the EIA data for the quarter. Because we're taking over -- because we took over those Mobil's assets, those -- I don't want to say, I think we run them better than the prior owner, and because of that, I think we're getting more out of those convenience stores. So we haven't seen a problem. Now, maybe if we were running them as best as possible all along the way, you might have seen a dent in that business, but for us it's actually the opposite. 
Ronald Londe: In the North Dakota terminal and the Albany terminal projects, what's the dollar amount of those 2? The cost -- on a cost basis? 
Eric Slifka: I want to say the tank out in North Dakota is somewhere around $7 million -- what do you think guys? $7 million in total? And then the facility in Albany, the first buildout that we shared with CP was $6 million and the additional buildout will be somewhere around another $6 million or $7 million. And then, we also spent a little bit money creating the ability to take in multiple products there as well. That might be another $1.5 million or $2 million, or something like that. 
Ronald Londe: Now, what do you mean by multiple products? 
Eric Slifka: So we can take in not just crude oil. We can take in crude, ethanol, other blendstocks, as the opportunities present themselves. 
Ronald Londe: Do you have the ability to take in propane? 
Eric Slifka: Not at that facility. But hey, Ron, I like your thought, okay? So, I'm with you on that. 
Operator: Our next question is from Paul Jacob of Raymond James. 
Paul Jacob: On the cost reductions, the $10 million to $12 million run rate, can I just assume that that's going to be fully effective in the first quarter of this year? Is there going to be some ramp up to that reduction as the year progresses? 
Thomas Hollister: It's effectively fully in place in the first quarter. And remember, that's off the core run rate in the first half of '11. 
Paul Jacob: Okay, and then in terms of the DOE strategic reserve contract, is there -- are you looking on a possibility to extend that beyond 2012? And if so, when might we hear about that? 
Thomas Hollister: The Department of Energy, I believe, has 3 additional one-year lease options on their end. And we'll see what they do. Typically they've renewed them. 
Operator: Our next question is from Brian Zarahn of Barclays Capital. 
Brian Zarahn: Can you elaborate a bit on your first quarter expectations? Is it -- I mean, do you expect coverage to exceed 1x in the quarter? 
Thomas Hollister: I think, Brian, we probably won't go further than what we said this morning, simply because we're still in the midst of the quarter. But because of the warm weather, heating oil sales are off. And the increasing gas prices, as Eric mentioned, that affects demand as well as margins on a gasoline-station side. So it will be a weaker quarter. 
Brian Zarahn: Okay, and then, you talked a little bit about your CapEx. I wasn't sure if for the storage in North Dakota and Albany project, if that was on total or for '12, but do you have a preliminary view of 2012 CapEx? 
Thomas Hollister: We have not, Brian, and probably won't mention a full number for the year. What I can say is, is our maintenance CapEx, if you look -- piece through our past statements, it's probably in the $12 million to $14 million range, including Alliance for 12 months. This past year, it was much less, halfly, because we found the Mobil assets to be, number one, in excellent condition. And in addition, some of the routine maintenance of programs we took in place will take a few years to unfold. 
Brian Zarahn: And then on -- given the change in product flows, and we're seeing a lot of activity for Marine terminals on the East Coast, I mean, can you give your perspective on -- do you see any growth opportunities there or opportunities for higher rates down the road? 
Eric Slifka: I think if the assets are the right assets, and can handle the right products, and are unique and less commodity, I think those will have higher returns associated with them in total, right? So -- and if you're talking about -- I don't know if that question is also say, asking if the M&A market is busy, I can tell you it is busy. There's a lot going on, and there's a lot of projects and a lot of assets that are looking to possibly change hands. 
Operator: Our next question comes from James Jampel of HITE. 
James Jampel: Just a little bit more on the fourth quarter versus the first quarter. I mean, you mentioned the high gasoline prices pressuring margins in the first quarter, and the -- of course, the warm weather that we're having here, could you comment on other things, they'll be puts and takes between the fourth quarter and the first quarter, and including backwardation or anything else you want to mention? 
Eric Slifka: I think you can sort of look at -- you can look at the product curves along the NYMEX, and you can see sort of where gasoline sits and you're going from a wintertime spec to a summertime spec. It's the same as it is every year. You have -- obviously fluctuations, and how big that carry is going from one product to the next. But that's there --  I would say, on the heating oil, you're seeing some contango on that heating oil market as well. So those are somewhat positive trends, right? 
James Jampel: Anything else that would distinguish the fourth from the first? 
Thomas Hollister: I don't think so, James, I think the 2 big ones, apart from the curves that Eric mentioned, are the weather and the increasing gasoline prices. 
James Jampel: I see. Tom, you did mention something about the mid-continent market becoming -- should be becoming more efficient in your remarks? And could you elaborate on that? 
Eric Slifka: Yes, James, it's Eric. In terms of the mid-continent, all Tom's referring to is, as these assets and the infrastructure gets built out over time, you're going to see the market become more efficient, you're going to see the spreads on all this stuff sort of narrow down a little bit right now, because there is just so much production coming on stream and there's no pipelines and there is even few rail facilities. The ability to move product fungibly, quickly, easily from one location to another location is limited. And because of that, there are really large inefficiencies that exist in that marketplace. 
James Jampel: I see. Well, help me through here, because the -- it would seem to me that the movement of oil by rail over such long distances in North Dakota to Albany, and given the refinery situation on the East Coast, that this would be like really a short-term thing and it wouldn't be something that is going to be a longer part of the Global portfolio of business. Or am I missing something? 
Eric Slifka: Well, we -- yes, we hope not. I do think that we're as a supply point, as efficient as the other existing alternatives that are in the marketplace. So the hope that we have is that we'll be able to grow the business, and that it's not a business that is going to be a short-term business. 
James Jampel: I see. Enbridge is talking about reversing pipelines and trying to move that way? 
Eric Slifka: Yes, well, I've heard a lot about that and I'm not exactly sure how it's going to get there. What I do know is I have the single line haul rail. I can load a tank car in North Dakota and in 4 days, have it in Albany. And now that's fast, and I'm not saying that's typical time, but it's not much off of that. And so I would argue I have, as an efficient way to move crude and other products, as anyone. Now, the question goes back is, how much demand are you going to have for it. But we feel that because of our efficiencies in this asset, that we can compete, certainly with other rail facilities, and then depending upon how we maximize other facilities, we may be then able to compete, if there were any developments or pipes. 
James Jampel: I see. Okay. And lastly, did you look at all at the facility that Buckeye bought? 
Eric Slifka: Which one are you talking about? 
James Jampel: The one on the -- the one in the New York area. 
Eric Slifka: The one in where? 
James Jampel: The one in the New York area. 
Eric Slifka: Yes, we saw that facility. I mean, I think look, they obviously have ideas and plans for that facility, I don't know what they are. 
James Jampel: But in terms of -- is that something that you guys looked at seriously or no? 
Eric Slifka: Yes, we look at all. We look at every deal that's out there, so... 
James Jampel: I see. I mean, I guess the way I would characterize -- correct me if I'm wrong, is they might have had certain synergies with that piece of property that you guys might not. 
Eric Slifka: Perhaps, I would guess. But I don't know. 
Operator: Our next question comes from Andrew Gundlach of First Eagle. 
Andrew Gundlach: One housekeeping question, what do you expect your interest to be this year? 
Thomas Hollister: No, Andrew, we haven't given guidance on it. The borrowing levels are more or less set now and it will depend on prices, unless there's some transaction in the course of the year. 
Andrew Gundlach: So $30 million or $40 million range, basically? 
Thomas Hollister: Andrew, I'm not -- we don't, maybe, maybe you don't know, typically, we don't give specific guidance on that. 
Andrew Gundlach: Okay. The other thing with respect to your comments on Conoco and Sun, obviously, they're -- those refineries are up in the air and what happens if they -- I don't know, which Conoco refinery you were talking about, if it's Trainer or the other one but... 
Thomas Hollister: I was just talking about the one that was running. 
Andrew Gundlach: Just the one that was -- okay, and so Philadelphia gets shut? 
Eric Slifka: That's -- I mean, it's okay. We think logistically, we're -- we have a better solution than anybody else. So... 
Andrew Gundlach: But is there a demand for that -- for the product in other East Coast refineries that might still run? 
Eric Slifka: We believe that there will be. If there's any other refineries running, we believe that a, we're efficient and that b, if we can handle the demand, we'll be the guys to supply it. 
Andrew Gundlach: Okay. And then just 2 questions on the bigger picture. You started to refer to this earlier with Albany and propane, but can you talk about blending opportunities that you see, if you figure that Marcellus produces, I don't know, somewhere between 30,000 and 50,000 barrels of C3Plus 5 years from now, say? 
Eric Slifka: Yes. 
Andrew Gundlach: Is that, and can you just explain how that -- what opportunities are there for you, number one? And number two, on the marketing side of the business, you know the Atlantic Basin trade is changing big time, and it's tough to get your arms around it. And can you just talk about if that is a threat and an opportunity? 
Eric Slifka: Yes, I mean, well, I think the -- let's start with the Atlantic Basin. I mean, I think depending on which refineries they open, and which one's close and which one comes back up and run again, I mean, you're going to see gasoline come in to the market, it comes, a lot comes from Europe now, so I think you're going to continue to see that. And if some -- if the market were to get very tight, I think you can even see some of the comp domestically, right? So I think the market will find its footing and its pricing and its value to make the gasoline come here. And for us, I think -- look we're a taker, and so we'll be on that marketplace and I don't think it's much of a change from how it works today. 
Andrew Gundlach: Okay. And then what about the blending opportunities? 
Eric Slifka: Yes, I mean, I think you're spot on. You've got all this domestic production coming up and it's all over the country and it is going to shift supply and demand patterns and who's advantaged and who's disadvantaged, and you're going to have to see how that plays out. It's going to be shifting, though, for sure. Right? 
Andrew Gundlach: But can you capture the spread for your own profit margin as you do more blending? 
Eric Slifka: What I believe will happen is those who have the logistical assets that can take advantage of those inefficiencies will be the ones to benefit from those spreads. 
Operator: Our next question comes from Ron Londe of Wells Fargo. 
Ronald Londe: Just a quick housekeeping question. What do you expect the number of units to be outstanding at the end of the first quarter? I know it's 21.5 plus 5.8? 
Thomas Hollister: Yes, that's pretty much the number. 
Ronald Londe: Is that going to be the number? 
Thomas Hollister: Yes, it will be 27,430,000. 
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mr. Slifka for closing comments. 
Eric Slifka: That concludes today's call. We look forward to updating you on our progress. Thanks, everyone, for joining this call. 
Operator: This does concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.